Operator: Good morning everyone. Thank you all for holding and welcome to Cincinnati Bell’s fourth quarter of 2008 earnings conference. Your host for today’s conference will be Mr. Shane Brown. Today’s conference will begin with prepared remarks followed by question-and-answer session. Instructions on that feature will follow later on the program. Today’s call is being recorded. At this time, I’d like to turn the conference over to your host, Mr. Brown. Mr. Brown, your line is now open.
Shane Brown: Thanks, Steve and good morning. I'd like to welcome everyone to Cincinnati Bell’s fourth quarter earnings call. With me on the call today are President and Chief Executive Officer, Jack Cassidy; Chief Operating Officer, Brian Ross and Chief Financial Officer, Gary Wojtaszek. This morning, you will hear from Jack about 2008 results and 2009 focused areas followed by Brian's comments on fourth quarter operational metrics and Gary’s comments on fourth quarter’s financials and the balance sheet. We will then have final comments from Jack Cassidy followed by a question-and-answer period. Before we proceed, let me remind you that our earnings release and financial statements are posted on our Investor Relations Web site. In addition, you will also find presentation slides for today's call which we hope you will find helpful in your analysis. Today's call is being webcast if you would like to listen to it at a future time. Now, I'd like to draw your attention to our Safe Harbor statement. Information in today's presentation contains certain statements and predictions that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. In particular, any statements, projections or estimates that include or reference the words “believes”, “anticipates”, “plans”, “intends”, “expects”, “will”, or any similar expression fall within the Safe Harbor for forward-looking statements contained in the Reform Act. Actual results or outcomes may differ materially from those indicated or suggested by any such forward-looking statements. More information on potential risks and uncertainties is available in the company's recent filings with the Securities and Exchange Commission including Cincinnati Bell's Annual Form 10-K report, quarterly Form 10-Q reports and Form 8-K reports. This presentation also contains certain non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are also on our Web site. The forward-looking statements made on this conference call represent the company's estimates as of February 4, 2009. The company anticipates that subsequent events and developments will cause its estimates to change. With that, I am pleased to introduce Cincinnati Bell's President and Chief Executive Officer, Jack Cassidy. 
Jack Cassidy: Thanks, Shane and good morning everyone. We very much appreciate you joining us today. As announced earlier this morning, Cincinnati Bell delivered yet another year of growth in 2008. To quickly recap our financial results, revenue improved by 4%, EBITDA grew by 2%, earnings per share increased by 58% and free cash flow grew by $105 million. We are proud of these results and continue to remain one of the few telecommunication companies reporting revenue and earnings growth. This performance is a result of persistent actions taken throughout the year to introduce new and innovative products and services, retire bonds and repurchase common stock. On today’s call, we will provide key insights on how we achieved the 2008 results, and why we believe Cincinnati Bell is well-positioned for yet another successful year despite the uncertain economic outlook. Let me spent a few minutes reviewing the overall factors that contributed to success in 2008. As outlined on slide 5 of your presentation, growth in technology solutions and wireless service revenue resulted in year-over-year growth in EBITDA from each of these segments. In wireline, the continued focus on business markets helped drive higher data, long distance and VoIP revenue which contributed to a stable EBITDA margin of 47%. We also reduced net debt by $49 million and repurchased about 8% of common shares outstanding as part of the buyback program authorized by our Board of Directors in February 2008. Taking a look at slide 6, revenue in 2008 totaled $1.4 billion which is in line with the 2008 guidance we provided. The business segment results Technology Solutions revenue grew $57 million or 22%. This was driven by a 45% improvement in data center and managed service revenue and 11% growth in Telecom and IT equipment revenue. Wireless revenue was up $22 million largely due to a 9% increase in service revenue. Wireline data which includes DSL and data transport increased by 6% on long distance and VoIP revenue grew by 24%. Revenue growth combined with the positive impact of cost reductions helped reduce EBITDA, $480 million, up $7 million or 2% year-over-year. As detailed on slide 7, wireless EBITDA grew 12% and Technology Solutions grew 32%. We are pleased to report that we met or exceeded 2008 guidance in all categories despite a very turbulent US economy. In addition to achieving growth in key areas of the business, we also took steps to proactively reduce working capital and pay down debt. As a result, earnings per share increased 58% year-over-year or 21% on excluding special items. Lower interest expense and the overall reduction in shares outstanding also contributed to the double digit growth and earnings per share as noted on slide 9. Turning to slide 10, growth in wireless, data centers and DSL continue to diversify Cincinnati Bell’s revenue across the broader and more robust product and service portfolio. Strengthening this business limits the company’s exposure to and the impact of consumer access line loss. In 2008, 86% of total revenue came from sources other than traditional consumer wireline voice compared to 83% in 2007. Cincinnati Bell has a unique ability to deliver products and services ranging from traditional wireline and wireless voice and data to complex IT infrastructure services. Business customers appreciate having one provider, for other telecommunication needs and we continue to leverage this competitive advantage. In 2008, revenue for business customers accounted for 59% of total revenue compared to 56% in 2007. In total, business markets revenue was up 9% year-over-year. The key factor in the business revenue growth has been keeping pace with demand for data center capacity as enterprise customers look to cut down on their own IT budgets by outsourcing to us. The chart on slide 12 summarizes data center expansion activity over the past five quarters. Physically speaking, our available data center capacity equals 209,000 square feet. We begin building 6,000 square feet during the fourth quarter leaning to a utilization rate of 88% and inventory of 25,000 square feet at the end of the quarter. A total of 68,000 square feet located at our Lebanon, Ohio data center and our downtown Cincinnati facility will be commissioned in the first quarter of 2009. We are in active discussions with customers for approximately 70% of this new capacity. Cincinnati Bell has a solid history of delivering diverse carrier-grade network solutions for businesses of all sizes. We leverage this network through CBTS to provide business customers with access to multiple high-grade, highly redundant regional data centers. Combining the superior quality of our network with Tier II and III data centers ensures customers receive the highest level of process and security compliance. In addition, some customers prefer to buy space in two separate facilities in order to achieve simultaneous data replication. CBTS is well-suited to provide this capacity. We recently took an important step in the area of data center virtualization and utility computing with the launch of the CBTS virtual data center service. The service means that businesses across the country and around the world can access a secure data center environment without large capital outlays. The virtual data center service provides more efficient use of our data center asset and access to much broader customer base. We have received a great deal of interest from current and perspective customers in this new service and last week, inquired the Toronto-based software company that developed the virtual data center web interface. Looking ahead, we are focused on continuing momentum in growth in both consumer and business markets. In addition, we are moving forward with initiatives that will help better align our cost structure with that of our key competitors. The 2008 was an exciting and eventful year for Cincinnati Bell against the backdrop, the drop of economic uncertainty; we delivered high quality communication services that provide valuable solutions for consumers and businesses. As a result of our actions to bring advance and relevant products and services to market, Cincinnati Bell continues to grow revenue and EBITDA and produce free cash flow to retire debt and repurchase shares to common stock. Bryan and Gary will provide additional detail on the outlook of 2009 but based on the guidelines we are providing, we anticipate another year of consistent performance in the face of challenging market conditions. Now, I'd like to turn the call over to Brian Ross who will provide insight on our operational performance in the fourth quarter. Brian?
Brian Ross: Thanks Jack and good morning everyone. As Jack describes, Cincinnati Bell continued its revenue and earnings and strong cash flow growth in 2008. My remarks today will focus on segment results for the fourth quarter. Starting with slide 15 at the presentation, we continued the trend of year-over-year growth in wireless service revenue and EBITDA in the fourth quarter. Service revenue equals to $72 million, an increase of 3% compared to a year ago. Wireless EBITDA totaled $20 million, up 2% from the fourth quarter of 2007. As you can see on slide 16, increased service revenue helped drive the EBITDA margin to slightly above 25%. Service revenue increased $2.4 million versus the fourth quarter of 2007, largely driven by a 5% postpaid ARPU inquiries. This reflects the growth in both Smartphone and SMS plan. We achieved a number of cost reductions in a wireless business in the quarter. However, they were offset in total by increased acquisition, bad debt expense and network costs, typically associated with increased service revenue. A combination of greater handset price discounts across the entire lineup and a higher percentage of Smartphone handset sales which typically carry a greater subsidy cost per unit contributed to the $1.7 million acquisition cost increase. As I previously noted, we are already beginning to see the long term EBITDA impact in this quarter’s ARPU growth made possible by the short term margin dilution. Excluding this higher acquisition expense, the wireless EBITDA margin would have equaled 27%. The chart on slide 17 illustrates the trends in our postpaid subscriber ARPU and mart phone customer based. In the fourth quarter, growth of 5% in ARPU and 3% in the average subscriber base drove postpaid service revenue 7% higher versus the fourth quarter of 2007. Smartphone rate increased 59% year over year resulting in an 11% penetration of the postpaid base. As I previously mentioned, SmartPhone subscriber growth helped to increase postpaid ARPU in the quarter to $48.46, an increase of more than $2 from the fourth quarter of 2007. Postpaid data ARPU was $8.54 which accounted for 18% of total ARPU and reflects the 23% growth. During the fourth quarter, we introduced the first ever SmartPhone family rate plan to accommodate the growing use of smart device amongst consumers. With this plan, a family of three can save up to $900 a year as compared to similar offerings from the national carriers, while always not requiring a contract. This helped to contribute to the strong 172% growth in consumer SmartPhone rate plan as compared to the fourth quarter of 2007. As encouraged as we are about the growth of SmartPhone rate plan, we are equally disappointed about the 10,000 decrease in fourth quarter postpaid subscribers. In addition to a 6% gross ads decrease, churn spiked to 3%. The decreased gross ads and increased churn are related in part to having limited access to the latest handsets. This is a direct result of exclusive purchase contracts national carriers have with the manufacturers. In particular, we did not have a touch screen phone in our fourth quarter lineup. We will be able to address that in the second quarter of 2009. We expect to be the first carrier in the US to launch the Nokia 5800, a powerful smart device that combines the ultimate and touch screen technology with the great music experience. Also affecting churn was a high rate of nonpaid disconnects which we label as involuntary churn. At 0.7%, it is more than double as historical rate. As I mentioned last quarter, we tightened our credit standards on August as we realized that a new credit methodology was accepting a group of weaker credit customers. Those actions in August did not produce the results that we had expected to see in November. We subsequently tightened the credit standards again in January. Unfortunately, as it takes approximately 90 days for credit changes to affect involuntary churn, we do not expect to see involuntary churn improvement until the second quarter of 2009. Finally, we deactivated about 4,000 subscribers of one business customer in the fourth quarter. These were low ARPU, low usage units deployed and a data only application. Splitting the impact of these units churn would have been 2.6%. We recognize the importance of the churn metric in our wireless business. In addition to credit policy changes, we are taking all of the necessary action to bring churn in line with our historical trend. Turning to the prepaid business in Slide 19, service revenue was down $2 million. ARPU declined from the third quarter as we undertook more aggressive pricing in October to protect our leading market share from our competitors own price reductions. Although we have decreased prepaid subscribers in the quarter and in part related to our relax credit policy, hording activity suggests that we maintained or possibly even improved market share during the quarter. Turning to the Technology Solutions segment, the charts on Slide 20 illustrate the segments year-over-year revenue growth. Total segment revenue was $89 million, up just 13% from a year ago. Slowing hardware sales affected by more restrictive IT budgets and bank credit conditions has reduced overall segment revenue growth well below its approximate 30% trend. Data center and managed service revenue growth did continue its trend by increasing 31% or $6 million, as we commissioned and began building approximately 6,000 square feet of new data center space. As shown on Slide 21, on the strength of continued data center expansion, gross profit increase $3 million resulting in an EBITDA of $10 million in the quarter which is a 3% growth rate. When adjusted for the non-recurring items of a $1 million benefit expense decline in the fourth quarter of 2007 and an $800,000 of increased customer credits in the fourth quarter of ’08, quarterly EBITDA growth would have been 24%. Looking at Slide 22, the wireline segment continued its steady performance. Growth and data, long distance, VoIP revenue and cost cutting produced EBITDA of $96 million in the fourth quarter, down $1 million from a year ago. DSL subscription depicted on slide 23 grew 5% year-over-year on 2000 fourth quarter net activation. Access lines declined by 6.5% in the quarter. As shown on Slide 24, ILEC net losses improved by 2,000 sequentially and from the fourth quarter of 2007. This translates into an in-territory access line loss of 8.2% for the fourth quarter. Business lines remains steady declining less than one-half of 1% from the fourth quarter of 2007. In summary, although we are not without our challenges, Cincinnati Bell’s fourth quarter performance reflects the solid execution of our strategy and the benefits of continued focus on growth in wireless and technology solutions. When we combine this growth with momentum in wireline data, VoIP and long distance product lines, and the positive impact of our cost cutting initiatives, we’re optimistic about our abilities to sustain this level of performance through 2009. Now, I’ll turn the call over to our Chief Financial Officer, Gary Wojtaszek.
Gary Wojtaszek: Thanks Bryan and good morning everyone. As you have just heard from Bryan and Jack, Cincinnati Bell continues to produce year-over-year growth in revenue and net income. Looking at the information shown on slides 26 and 27, net income for the fourth quarter was $38 million or $0.15 a share which is $0.16 a share higher than last year. As Bryan mentioned, EBITDA grew by 3% in the quarter driven by our operating performance. Additionally, we received the favorable operating tax settlement which resulted in a $10 million gain in the quarter and we realized the $12 million gain from the repurchased of bonds at a discount. Fourth quarter income tax expense was $26 million or 41% of free tax income and our deferred tax assets stood at $563 million which included $439 million in federal NOLs at year end. I am also pleased to report that for the year, we met or exceeded each of our 2008 guidance assessments. Turning to slide 28, free cash flow for the quarter was $63 million. The $53 million increase over 2007 was primarily driven by favorable working capital improvements and the impact of the operating tax settlement I previously mentioned. For the full year, free cash flow was $164 million which is $105 million greater than last year. Slide 29 illustrates our sources and uses of the cash in the fourth quarter as well the year. As shown, we’ve generated $63 million of free cash flow in the fourth quarter after investing $72 million of capital to grow the business. Also during the quarter we continued to execute on our goal returning cash flow to our shareholders and we purchased an additional $9 million of Cincinnati Bell’s common stock. For the year, we repurchased $77 million or 8% of our outstanding shares. This represents 51% of the $150 million share buyback program that we announced last February. Also on the quarter, we bought back $55 million of bond at an approximate 24% discount, bringing our cumulative year-to-date bond repurchases to $108 million. Lastly, we repaid approximately $7 million dollars of short-term borrowings in the quarter. The chart on slide 30 provides a look at our quarterly capital expenditures which totals $72 million in the fourth quarter, down $9 million versus the prior year. On a sequential basis, capital spending was up $17 million reflecting the ongoing build out of our new data center capacity, 11 on Ohio, and in our downtown Cincinnati facility. As Jack mentioned, we expect to commission 68,000 square feet of data center space in the first quarter of the year. Our Technology Solutions segment grew EBITDA by more than 30% in 2008. We are hopeful that we will continue on this pace. I would like to remind everyone that our data center strategy is to achieve relatively high utilization rates, generally in excess of 85%. I’m mentioning this as we have been investing approximately $75 million of discretionary capital in a business that generates over 20% return. If, however, this business were to be negatively impacted by the economy, our capital deployment strategy will ensure that we would no longer invest discretionary capital in this business until we were certain there were customers needing that capacity, which in turn would increase our cash flow for the year. Cincinnati Bell’s balance sheet is solid and continues to benefit from strong operating cash flow performance combined with a lack of significant debt maturities. As illustrated on slide 31, we do not have significant bond maturities until 2013. This provides the company with a considerable amount of flexibility to continue to select the way we repurchase our bond at attractive rates, retire shares and invest in our business. As highlighted on slide 32, we ended the quarter with a $158 million of liquidity comprised of a $151 million of undrawn revolver capacity and $7 million of cash. As you are aware, the recent economic crisis has negatively impacted our pension plan and increased our unfunded pension liability by $155 million. As or the end of the year, our pension plans had $170 million funding shortfall, which is primarily the result of a 22% decline in our pension assets, associated with the overall market decline, as well a reduction in assets associated with benefit payments that were made throughout the year. We are estimating that the deterioration in our pension plan assets will result in a cash funding obligation of approximately $8 million in 2009 and $50 million in 2010, which is comprehended into our 2009 guidance. Looking ahead, we expect the current macro economic conditions will significantly challenge our ability to generate revenue and earnings growth in 2009. As such, we believe that our overall results in 2009 will be very similar to our 2008 performance. So, I:3.3 contains the guidance we are providing. We expect revenue to be approximately $1.4 billion, including a significant reduction in equipment revenue, offset by flat to slight growth in revenue in a few of our other businesses. We expect EBITDA to be approximately $480 million, which is also consistent with what we earned in 2008. The EBITDA forecast includes an $8 million net increase in pension expense, driven by the asset deterioration I just mentioned, as well as a slight increase in bad debt expense, which will limit our ability to grow EBITDA in 2009. As we announced earlier today, we have taken steps to reduce the company’s Legacy Pension and Retirement Health Care Plans, and also have decided to freeze management salaries in 2009. These changes will generate approximately $145 million of cost reductions over the next 10 years, and will bring a definite end to these Legacy benefits. Benefit changes, along with other expense reducing initiatives, will help us deliver EBITDA performance consistent with 2008 levels, even after including the expected detrimental pension expense impact. Turning to free cash flow guidance, we are guiding to approximately $150 million. We expect capital expenditures to be consistent with what we invested in 2008. However, as I mentioned earlier, to the extent we see deterioration in demand for our data center services, we would slow down investing in this business to a level that ensures we maintain a high level of asset utilization. Lastly, the positive free cash flow our business generates, combined with a lack of significant bond maturities until 2013, provides us with a great amount of flexibility to repurchase our debt at attractive rates and continue to execute on our share repurchase program. To summarize, in spite of the most challenging economic environment in recent history, we believe our 2008 results demonstrate the resiliency of our business model, and additional expense reduction measures we plan to implement, highlight the operational focus on our team and a commitment to generate positive earnings. Now, back to our CEO for a summary, and then we’ll take questions. 
Jack Cassidy: Thanks, Gary. Wrapping things up, let me say that underlying Cincinnati Bell’s improved and successful performance of 2008, is a business model that is unique in today’s telecom environment. We have an integrated and robust portfolio of businesses. We are not a peer place in wire line, wireless, or data centers. Although these are challenging times, we believe that the results, initiatives, and innovations discussed on today’s call highlight the strength of Cincinnati Bell’s business model and demonstrate the ability to achieve continued success in the future. We very much appreciate your continued interest in Cincinnati Bell and thank you for taking the time in joining us today. Operator, please open the line for questions. 
perator : Thank you. (Operator Instructions). We’ll go first to Jason Armstrong with Goldman Sachs.
Jason Armstrong - Goldman Sachs: Morning, guys. This is actually (inaudible) on for Jason. Thanks for taking the question. So, I just want to touch on CapEx. Can you just help us size the big pieces of (inaudible) of CapEx in 2009, such as 3J expansion on data center builds? And then on free cash flow, looks like the emphasis is in debt paid on 4q08. Now that the (inaudible) have come in from their highs, will share buy backs shift back the focus? Or is that type of leverage you guys are working to it? Thanks.
Gary Wojtaszek: Well, I think the overall cash flow guidance for the year basically assumes that our CapEx for 2009 is going to be consistent with our 2008 performance. We’ve no provided the same granularity, in terms of where we’re spending that within each of the businesses, but you’ll see on one of the charts that I provided, what the overall breakdown in CapEx is between the wire line, wireless, and technology solutions segments. We believe that’s going to be consistent with 2008’s performance. However, as I mentioned, to the extent that we see less demand for our data center business, we intend to scale back our investment in that portion of our business. I wasn’t sure about the second part of your question concerning the free cash flow, can you repeat that?
Jason Armstrong - Goldman Sachs: It looks like the focus is on debt paid off in 4q08, with the free cash flow generated.
Gary Wojtaszek: Right
Jason Armstrong - Goldman Sachs: But now that the (inaudible) have come in from their highs, do you expect to focus the shift back to share buy backs? Or is that target leverage you are looking for?
Gary Wojtaszek: We had—We did a really nice job in taking out a lot of the bonds available to us at roughly 24% discount in the fourth quarter. Our bonds have traded up nicely over the last two months and now, I think, are all above 90%, as opposed to some of the low periods in the quarter. They were down to about 65% in the quarter. Right now, relative to our equity, the bonds are less attractive than they were to us in the fourth quarter to the extent that the opportunities present themselves, we’d like to retire some of our debt in that quarter. However, the equity is going to be much more attractive at the current levels and we would continue to repurchase those selectively, as we go throughout the year. We’re not going to spend a lot of money on that and we aren’t going to—We’re going to wait to see how the year plays out before we complete the full buyback. But, we do intend to repurchase some of the equity over the course of the year.
Jack Cassidy: And that’s really not—our performance in terms of buying back debt and equity in 2008 was right on line with what we said we were going to do. So, we bought back 50% of the target that we had for the two year target. And again, as Gary just said, we are intent to continue to do that. However, when bonds came available at a deep discount, we are more than happy to be buying back that debt at the discount. But, we bought back 8% of the shares of the company. We thought we got a great value on that and we’ll continue to do so. 
Jason Armstrong - Goldman Sachs: Thanks for the insight, guys.
Operator: We’ll go next to Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley: Okay, thanks a lot, good morning. Could we touch on the wireless business? You talked to a couple of things, the lack of smart phones, the increase in non-pay disconnects. Perhaps, you can just give us a bit more view around how things trended November, December, and maybe January. And how we should think about this sort of first half of the year? Do you think this smart phone is the main issue? Do you think that the turn can be sort of held at this sort of 26 level, or might we see it go higher before it retreats? And at the other end, are you seeing some of these sort of unlimited players, such as Leap, take more share in a constrained environment. Obviously, they had record ads in the quarter. And are you thinking about maybe changing some of your pricing around that to compete more effectively in that space? And then just quickly, on the enterprise side, you’ve talked about being cautious around CapEx, is that something you’re seeing from the customers that you’re talking to? Or is that more given the macro environment, you just want to be sensitive to any changes that might occur? Thanks.
Jack Cassidy: Hey, Simon. Thanks for the great questions. Let me look at wireless first and then Brian and Gary can comment. There was a lot of things that happened in the fourth quarter to effect our fourth quarter results. What we saw was, through Thanksgiving, and even the Friday after Thanksgiving, things were very robust in terms of our local business and the local economy. I would tell you things fell off the table in the month of December, both from a gross standpoint and a net standpoint. So, I think a big part of it was in react—The local economy reacting to the very negative press that was out there. As a side note, again, I’ve always said Cincinnati does never really go up when things are great and does never really go down when things are particularly bad. We’ve had our share of local layoffs. We’ve got ABX Air up in Wilmington, Ohio that’s going to shut down. But, against the overall economy, things are sort of middle the road. So, the economy didn’t help and certainly that’s reflected in the non-pay disconnects. However, as Brian mentioned, we sort of shot ourselves in the foot by relaxing credit standards in the August time frame and then not tighten them up enough. And if you asked me what happened, my view, and I’m telling you what I think, first what I know, basically, what we did is we moved our i-wireless prepaid customers into a post-paid status, okay, at distribution particularly in the dealer channel. And then guess what? Those people churned. So, once bitten, twice shy. You figure that out and then go forward. In terms of what we’ve seen in the first quarter and what we can expect churn at we’ve seen a good improvement to that 3% churn number. Where it’s going to come out for the quarter is anybody’s guess, but its all hands on deck to be able to figure out how to reduce that churn. In terms of boost in leap offer, particularly boost, the Sprint people offering their unlimited plans, haven’t really seen that in the market. Important data would indicate that we actually grew share in the prepaid business in the fourth quarter because of our refusing to allow ourselves to be out priced in the marketplace, particularly in this segment, which is unbelievably price sensitive. Yet, those customers are indeed profitable to us. But, we really haven’t seen the effect of boost to me and this is really more of a political comment than anything else, it doesn’t surprise me that Sprint did this. I don’t know that they have any alternative on an empty network to fill it up with minutes at any price. So, it’s going to be interesting to see how the rest of the market reacts to that particular plan. So, we really haven’t seen a deterioration in terms of market share, at that level. Going to the enterprise space, we have an understanding in the business, as we’ve tried to tell the investor over the last two years, that for every dollar of earnings that we put out, we have a responsibility to put that dollar into the best possible place, that we think will drag shareholder returns. So, CapEx is incredibly important to us, as we put our plans together to figure out where it is that we want to spend that money and what the returns on that capital is. And the CBTS business, as we’ve always told you, that’s a 20% return on capital, so any amount of business that I can get, I’m going to take at that return. What Gary’s trying to do is reiterate what it is that we’ve always told the investment community over the last two years. This isn’t the field of dreams. It isn’t if you build it, they will come. This is if the voice of the sales person from the CEO is, if you sell it, I will build it. So, because we’re relatively local, and we have good contacts with the customers that are in the funnel, we know when this thing goes from a salesman’s dream to a place where we need to spend the capital and to meet the customer needs. We have not seen a fall off in demand for outsource Beta centers, like the ones we provide. Now, that said, we’re pretty much different from the rest of the data center world, in that we really like large Fortune 500 enterprise customers, who sign 15-year contracts. So, we really weren’t—We really didn’t have the risk in the SMB spaces some of the other data center providers have. And so, given Fortune 500 customers with long-term contracts, and the return on those, we feel real good about that. And we have not seen the sales funnel—Really I think it is sales funnel over to the last year and a half, two years, is pretty even over that period of time. We haven’t seen that funnel fall off. But again, we’re here to tell the market that if it does fall off, and we fall much below a 90% or 85% utilization rate, we’re not in the business of building centers, we’re in the business of attracting and retaining profitable customers. So, that’s where I think you hear the hesitation in the voice, but it really isn’t based on market demand. On the other hand, in that business, we sell a lot of Cisco, SUN, AVIA gear in the marketplace. And there has been some, what I call purgulling (ph) in terms of people and companies, given lack of liquidity, spending capital dollars on non-revenue generating activities. So, that equipment business has pulled back. I guess the good news for that is, that’s a 10% margin business. If I had to have a pull back in any part of by business, that’s probably the one. But, that affects the top line, as well. Brian, Gary, any further comments?
Gary Wojtaszek: Maybe just to add one other thing on the Churn trend and smart phones. Although you can’t say for sure, I think we have a lot of data that would suggest that a lot of the churn is somewhat related to the smart-phone phenomena at the national carriers. So, our churn was higher in December than it was in either November or in January, so the 2.6 for the quarter was 3% December. And here in January it’s down to 2.5. So, we have seen some improvement already. And we think part of that is related to the holiday gifting, as well as other measures that we’ve put in place. 
Simon Flannery - Morgan Stanley: Great. Okay, that’s very helpful. Thank you.
Jack Cassidy: Thank you Simon
Operator: We’ll go next to David Barden with Bank of America
David Barden - Bank of America: Hey guys, thanks for taking the question, two if I might. First, was just a little bit more on the data centers, just the sequential, or maybe more the dynamic between looking at the incremental billing of 6,000 square feet in the quarter and the relatively modest sequential decline. I guess, I was expecting for hardware, for the managed services piece, was kind of a recurring piece, if you are going to add billable square feet, you should see an increase in revenue in that segment. And so, how should we think about those pieces that move that, even though we brought more billable square feet on, we didn’t see a net revenue benefit quarter on quarter. And then, the second thing was just, as Gary called out the 8 million negative on the pension side, could you give us some quantification of the ’09 expectations from the benefit from some of the call back of the benefits? And any other kind of structural kind of plans that you’ve put into the guidance that we can kind of keep track of, as they unfold over the year? Thanks.
Jack Cassidy: Gary, you want to answer the second question first? 
Gary Wojtaszek: Sure. Our expense impact for 2009, associated with the deterioration of the pension assets was $8 million. So, that’s something that will flow through our EBITDA for the year. That’s a net number. The actual number was $10 million, offset by $2 million for some other changes that we’ve just announced in the quarter. We’ve frozen our pension plan benefit for certain employees. The cash impact on that isn’t really going to be felt in 2009. We were fairly funded by the end of 2008. The majority of that cash impact will be felt in 2010. And your other question about other restructuring items?
David Barden - Bank of America: Well, I guess it’s just more--- Okay, that’s helpful to kind of get that breakdown. So, the pension effect is 8 million net. And you talked about kind of other initiatives to kind of bring the EBITDA number to more of a flat year-over-year. And I was wondering if there were other kind milestones that we were going to look at, the head count restructuring announcement in 2q, some kind of a facilities based consolidation 3q billing system, revamp 4q, those sorts of things.
Gary Wojtaszek: I mean, I think the company for the last several years has continued to grapple with the access line erosion, so they’ve continually been reducing their expenses, in line with their top line forecasts. So, I don’t think 2009 is going to be any different than what we’ve done in the past. Some of the benefits that we’ll see incrementally in 2009, associated with the 2-tier wage structure that was put in place in the spring of next year, we’ll see additional benefits from that. We’re also going to see additional benefits associated with the ERO, the head count actions that we announced last year, we’re going to being seeing some of the benefits of that. And then we’re also announcing other—Looking at other actions in our IT organization and in our call centers to cut down on expense. But, there’s nothing from a GAAP restructuring related type item that we would include in like an 8-K reportable type event. 
David Barden - Bank of America: Okay, great.
Jack Cassidy: And then on your first part of your question, David, I’m afraid, and you can call Shane or anyone can call Shane for exact information on this, but I’m afraid you’ve got our managed services, professional services, and data center operations, although they’re combined, you’re quoting growth percentage rates for one that really apply to the other, so…
David Barden - Bank of America: Right
Jack Cassidy: So, if we look at Managed Services, in the quarter, that was flat on a year-over-year basis and we don’t—we’re not in the business of talking about specific customers that we service and what their needs are, but as you can imagine, there are large, multinational corporations that are headquartered here that are looking to cut their costs, as well. So, they’re billing and services fees, that are available on a variable basis, they’re looking to manage those costs, as well. And so, that’s pretty much what you saw as flat. On the other hand, Data Center Managed Services business, is in the quarter grew 31% and that’s kind of along the same point along the line of long-term growth. So, when coupled together, that’s what they are and then, separately, there’s really no risk of revenue decline in the Data Center part of the business, as that’s not a variable expense. Those are long term contracts that are out there. Again, we don’t deal in the SMB space, so we don’t have fall off declines of customers. We don’t have any Data Center customers that are online who’s contracts expire any time soon, certainly not in 2009. So, I don’t know, does that help clear it up a little bit?
David Barden - Bank of America: Maybe a check, it would be helpful just if we could get a census to the percentage of the data at Managed Services, that’s more the fixed contracted, Data Centers, versus the variable more potentially volatile Managed Services side. In the current climate.
Jack Cassidy: Okay, well again, I would encourage you to and by extension, anyone who’s online, to call Shane or myself offline, so we can take you through the entire business with the numbers in front of you. But, it’s pretty much like this, the Data Center side, where we actually have the racks and the servers and the cages, that represents a long term investment on the part of the customer. So, that’s more of a fixed revenue business. And then as you seek to provide goods and services from there, on the goods side, you’d seek to provide hardware. And that’s going to go up and down dependent upon what your utilization rate is and upgrades that the customer is going to do. And then, lastly, the most variable is on the services side. Sometimes we provide the service, sometimes an outside third party will provide the services, sometimes the company themselves will provide the managed services. So, that’s relatively variable. But again, on Managed Services and equipment, the margin percentage on that revenue is much less than the margin on the Data Center side. So, you’re going to see some quarter over quarter, or sequential changes in that. I don’t think it’s dramatic. But, again, if you call him later, we’ll be happy to put you in touch either with myself, directly or with the folks that run CBTS along with Shane.
David Barden - Bank of America: No problem, Jack. Thanks a lot. 
Jack Cassidy: Thanks, David
Operator: We’ll go next to Frank Louthan with Raymond James.
Frank Louthan - Raymond James: Great, thanks. Can you give us an update on your 382 limitations? Are there any concerns with shareholder turnover regarding your NOLs and those on this 382 limitations? And then just to clarify, you said there’s $49 million of debt you bought back in the market. Was that face value of debt or was that actually how much you—the cash that you spent? And give us an idea, if that’s just the cash, how much of the face value that you spent and do you think - You’ve done a good job continuing to penetrate broadband in with—Or you probably are the highest penetrated markets in the US. Do you still see some broadband penetration, DSL growth, going forward in ’09? And how much of that is going to be SME (ph) related? Thanks
Jack Cassidy: A couple of different questions, I’ll take the first two, Frank. With regard to the 382 limitation, I don’t know how much you know about that calculation, but it’s a very detailed calculation that has lots of different assumptions into it. One of which is our stock price. That’s something that we look at on a regular basis. Right now, we’re at a point we’re not really concerned about crossing that limitation, but it’s something that we look at on a regular basis. With regard to your question about the debt, what we purchased during the quarter, we purchased $55 million of face value of the bonds in the quarter.
Gary Wojtaszek: Did that answer your questions on those two items, Frank?
Frank Louthan - Raymond James: Yes, that’s great.
Gary Wojtaszek: In terms of broadband, look, you know, it’s no different than wireless or anything else. Theres only so many homes that have computers. And only so many homes that have computers that they’re going to want broadband. And I really can’t speak to the economy and the impact on that. However, we haven’t seen people giving up wireless phones or broadband access as a direct result of the economy. What we have seen is that people A: Want our stuff to work better than anybody else’s, and B: They want to feel that they’re getting a better price value relationship, which absolutely plays to our strength of driving bundled sales, which reduces churn down line and also increases ARPU. That said, the broadband market in Cincinnati is heavily penetrated on a per household basis, so we wouldn’t see upside growth. So, now it just changes the game, instead of trying to add new customers because of segment growth, you’re really in the business of stealing the bad guy’s customers. And we continue to look forward to stealing bad guy’s customers. In terms of growth in the SMB space, yes, we have seen broadband growth in SMB, but that is not near as robust as the past consumer markets have been. Does that answer your question there?
Frank Louthan - Raymond James: No, that’s great. Thank you.
Gary Wojtaszek: Okay, thanks Frank.
Operator: We’ll go next to Sergei Gelletsky with Gabelli & Company (ph).
[Sergei Gelletsky - Gabelli & Company]: Good morning, guys. Could you talk a little bit about the competitive environment on the wire line side in 2009, you also (inaudible) you would expect from cable companies? What would the difference maybe in ’09. And also, a regulatory question, What do you expect to from—to see from the new administration in terms of regulation in ’09 and going forward?
Gary Wojtaszek: Sergei, I would say that competitive environment in wire line is more of the same. It’s a very, we have a very competitive market here in Cincinnati. On the consumer side, we have two different cable companies, both relatively aggressive, in terms of trying to sign up both broadband and voice customers. And that we’ve been at this game for a number of years, so I would state that no real difference. No difference in the competitive environments as we’d look out over the year. On the FCC side, I think it’s really anybody’s guess on what the new administration’s going to do. I wish, like everybody, I wish we all had a crystal ball, in terms of what their agenda may be there. But, I think it’s really too soon to tell. 
Jack Cassidy: You know, Sergei, it all gets back. And when you talk about wire line, it all gets back to relevancy. I mean, banging two sticks on a trunk of a tree isn’t relevant anymore. Telegraphs aren’t relevant, okay? Wire line voice, whether you’re in a rural area or whether you’re in an urban area, wire line voice over copper, over time, will not be relevant. It’s the way that it is. Right, wire line copper voice today is not relevant to 24 year-olds or 25 year-olds that live in apartment buildings. And anybody that would tell you any different, is singing a tune that you don’t want to listen to. 
[Sergei Gelletsky - Gabelli & Company]: Right, but do you expect cable companies to get—Time Warner in particular, to get more aggressive, adjust to competition, borrow some customers, as you mentioned, if they are trying to steal that guys customers. Do you expect anything different from them in ’09? 
Gary Wojtaszek: You know, the cable guys don’t come to my office and tell me how to do my job. I don’t go to their office, okay? Look, the cable companies, let’s face it, are getting into a business that’s getting less relevant over time, in terms of consumer voice, okay? We’re getting into a business that gets more relevant over time, in terms of consumer entertainment and also in serving SMB customers. Those people who have not invested in different forms of communication, meaning wireless, meaning more broadband, meaning more long distance, meaning more entertainment, meaning more connectivity with our customers and Data Centers, their revenues are falling and their profits are falling as well. And it’s just a matter of time, when your revenues and profits are falling, as to where you think the bottom is, and how you go from there. So, as I mentioned, we think very strongly about how are we going to spend the next dollar of free cash flow, in terms of the return on that capital and that investment. Is it going to grow the business or is it not? And I think again, my summary pretty much goes to how that happens. Do I think the cable guys are going to get more competitive? Yes. I think every business in America is going to get more competitive, all the way from Joe the plumber to Time Warner, all the way to Cincinnati Bell to ATT/Verizon. So, I think there’s no lack of competition in this industry. I’d put it as maybe behind cars and beer, and I’m not sure cars. I’d put it as the third most competitive industry in the country. And it isn’t going to go away. I think what you have to do is look over the long-to-mid-long term results, how have companies been able to deal with that competition? How do they respond to it? Are they growing profitability? Are they buying back shares? Are they paying back debt? And then you have to look forward in the future what people's chances are.
[Sergei Gelletsky - Gabelli & Company]: Right. Thank you, guys.
Jack Cassidy: Thanks, Sergei.
Operator: We'll go next to Todd Morgan with Oppenheimer & Company.
Todd Morgan - Oppenheimer & Company: Thank you, good morning. You guys seem to have done a pretty good job of finding differentiated products of small niche products like that. I don't know if you could talk about anything you're looking at now. And also in particular I think you have a small cable franchise (inaudible) territory. I don't think you're offering cable services (inaudible) in the main area. Can you talk about your ability or desire to expand that?
Jack Cassidy: Yes, thanks for your question, Todd. In terms of small differentiated product offering, I mean I could keep you on the phone for a long time, okay. So we offer (inaudible) when really nobody else does. With just the ability to talk on the (inaudible) spectrum over our GSM phones, we offer a product called Spin Box that we just love the heck out of. What that does is it takes your voicemail and sends it to you as a text. One of my competitors is referring to it as visual voicemail, but it is a great thing and people really love how all that works. We're the first in the United States to introduce a home phone which will send and receive text messages from other home phones and also from wireless subscribers so we're looking to build back relevancy into that market. So this follows a long period of innovation. We were one of the first telcos in the United States to go full up in the broadband and I think the results show for it. We're the first telco in the United States to offer an ISP in our fused out net business. So when you’re only worried about one or two particular markets and you got to think about how it is that you're going to service that customer to attract and retain that profitable customer, it's a lot easier to do than others and as I spent a lot of time on this morning, this whole data centers is a large potential opportunity and a large item and product that current customers desperately want. So we think that we'll continue with that innovation and you can look for us to be a Petri dish for lots of ideas as we roll them out. Some have worked well that I mentioned, some haven't worked well, but that's okay. We can get to learn from the mistakes as well. Was there a second question that you had, Todd?
Todd Morgan - Oppenheimer & Company: I guess I don't know if cable fits into that mix and I guess the second question (inaudible) is you talked about your status and your spending flexibility, looks like you spent about $22 million in CapEx in the fourth quarter. I'm assuming most of that went for the new space that you're building out. How much lead time do you need to decide on spending money going forward and can you give us any sense of what the real variable component of your projected CapEx budget, I guess about flat with '09 in total, what real sort of flexibility you have in dollar terms related to data center spend kind of plans?
Jack Cassidy: I am not going to completely answer as you would like the last part of your question, the reason being is because flexibility is consistent with customer demand. I mean think of it that way, okay. We spent roughly all in about $75 million in capital in that business last year. If there was no customer demand, we wouldn’t spend that capital. If we had more customer demand that for that $75 million, we would double and triple down because of return on capital that we've mentioned there. So consistently over the last two or three years as Gary mentioned, CapEx has been roughly in the $70 to $80 million range. That's what we’re forecasting for this year. That $21, $22 million in the fourth quarter was for the space that we're bringing online now. And I would tell you that if you go back and look at notes of other calls, we bought a 100,000 square foot facility in Lebanon, Ohio, 50,000 of that center will be able to be utilized by the end of the first quarter, end of the half and now that the additional 50,000 square feet is very available and is much easier to build out than if you had to buy a separate building and do that. Typically, lead time in terms of dealing with customers is call it six to nine months, depending upon what their needs are, whether it's tier 1, tier 2, tier 3, and that six to nine months would typically be better than, about 25% better than what other data center companies would do. Again, I'm not talking about opening up a cabinet or a rack. I'm talking about building out 5 to 10 to 50,000 square feet of data center space. And then you also asked a question about cable, we did buy the Lebanon cable facility which gives us an advantage on pricing and entertainment and gives us ability to learn how cable customers are different than telco-based customers. And we are in the process of taking that content via fiber, but primarily in a MDU or multiple dwelling unit environment. So we have taken fiber to various apartment buildings all the way from Lebanon down through Mason and also into Cincinnati and Northern Kentucky and we expect to be able to slowly deploy capital in a fiber environment to an MDU to find out more about the entertainment business. So this is not an announcement that we're going to do a fiber overlay in Cincinnati, okay, but it is further description on things that we've already talked about in terms of deployment of entertainment over fiber.
Todd Morgan - Oppenheimer & Company: Great. That's helpful. Thank you.
Jack Cassidy: Thank you.
Operator: We'll go next to Batya Levi with UBS.
Batya Levi - UBS: Okay, thanks so much. A couple of questions, one on the wireline side, can you talk about the trends you saw in the enterprise in the SMB business specifically any change in volume in December and maybe January versus the beginning of the fourth quarter? And within that, how pricing is holding out? And second question on the wireless side, with the change in the churn in the postpaid base and initial dilution you're probably going to get with the SmartPhone sales, how far do you think the long-term goal of 30% wireless margins is pushed out and what kind of contribution from data opportunity to get to that level? Thank you.
Jack Cassidy: Thanks, Batya. In the SMB enterprise side, I wouldn't point to any significant changes that I've seen either in terms of demand, pricing or competitive activity. There's a lot of pressure across the board on all three of those parts of the segment. That said this is not something that a customer bothers with whether SMB or enterprise can do without. They have to communicate with their employees and with their customers. So we haven't seen the fall off in the demand side. We're always being asked for cheaper price. That isn't any different today than it was yesterday. What we have seen is of course in the SMB side that with the economic pressure that is going off, a fall off in demand that's created by the bankruptcies. So our bankruptcies would be five times higher in the fourth quarter of '08 than they would be in '07 and you can judge the impact of those bankruptcies as you look at our financial results and you can see that even with those that we achieved the financial results that we were looking for. So it's not time to jump off the cliff, but you have to also as they say take the bull by the tail, face a situation and understand that this economy is going to cause bankruptcies and economic turmoil into your customer base and so you better get your bad debt and those kind of things in line with the market. On the wireless side as Brian mentioned in his notes that had we not had dilution for Smart handset devices that the margin would have been 27% which is part of a continuous climb upward toward a 30% margin business. I would again urge you and others on the call to remember that Cincinnati Bell does not get any inbound roaming traffic that we charge out for and so that has an effect overall on our margin percentages. Does that answer your question?
Batya Levi - UBS: Yes, thank you.
Jack Cassidy: Thank you.
Operator: We'll go next to Jarl Ginsberg with Columbia. 
Jarl Ginsberg - Columbia: Hi. Good morning, a nice quarter balancing headwinds. I had a question, are there limitations real or implied on your capital deployment, your choice of how to do that? You've answered it a number of different ways how you balance CapEx versus bond repurchase and stock repurchase and I think you've done a very good job of that. But I'm having trouble working numbers when you tell me that CapEx is a greater than a 20% return of capital and I'm looking at a stock price which suggests at your guidance north of 40% free cash flow yield to be repurchasing there. Presumably you've captured your opinion of potential weakness going forward and the bad debt questions in your guidance and expectations, but it seems like one would want to be more aggressive on stocks here yet it sounded like you were kind of neutral to, almost less aggressive. Is there something that we're missing or there are other limitations from you or the board of directors or (inaudible) that we need to think about?
Jack Cassidy: Jarl, there's going to be many people on this call that think that I asked you to ask that question or make those statements. Yes, it's pretty obvious to me, I don't get it, okay. When you're trading near— first of all we're trading below the sector EBITDA multiple. There's only three telecom companies in America that grew revenue and EBITDA for the year and that T, Verizon and us. Everyone else is backing up, okay. We've bought back 8% of the shares of the company, bought back $110 million of the bonds and deployed capital inside the business that generates a pretty good rate of return. Frankly, I don't get it and many of you on the line have called and asked and I wish I could tell you what the answer is. I think that there's more fear than greed in the market. Nobody needs to tell all the people on the phone in New York that that goes on, but on the other hand for us to be trading at a discount on either EBITDA or free cash flow multiple to our peers is crazy to me. I don't know. I mean a lot of people I guess think about rural versus urban. I'm here to tell you it doesn't matter if you're an urban customer or rural customer. Relevancy is an issue no matter where you're at and frankly I think the economics in the rural environment are more oppressive than the economics in urban environment as we see it work out. So I don't know. I wish I could answer your question. As a large shareholder myself, I'm personally concerned, but beyond that is as a CEO of the company, ultimately it's my job to drive shareholder value and I'd like to see us be able to do that. So if anybody's got some further ideas on the performance metric as to how we do that, I'd very much appreciate it.
Jarl Ginsberg - Columbia: Well, if I could as a natural extension to that then, are there specific needs in the market place that would require this to be a public company?
Jack Cassidy: I can't go there. Not here, not now.
Jarl Ginsberg - Columbia: Okay, thank you.